Operator: Good day, and welcome to the Cable One Fourth Quarter and Full Year 2020 Earnings Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Steven Cochran. Please go ahead.
Steven Cochran: Thank you, Vaishnavi. Good afternoon, and welcome to Cable One's fourth quarter and full year 2020 earnings call. We're glad to have you join us as we review our results. Before we proceed, I'd like to remind you that today's discussion may contain forward-looking statements relating to future events that involve risks and uncertainties. You can find factors that could cause Cable One's actual results to differ materially from these forward-looking statements in today's earnings release and in our recent SEC filings. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. generally accepted accounting principles. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today's call is our President and CEO, Julie Laulis. With that, let me turn the call over to Julie.
Julia Laulis: Thank you, Steven and good afternoon, everyone. We appreciate you joining us for today's call. Each year, as we look back and take back of our accomplishments, we are grateful for our associates, whose hard work and dedication continue to drive our success. But in 2020, an extraordinary year by any measure, the commitment that our associates made to keep our customers and communities connected to what matters most was exceptional. Whether quickly pivoting to find an innovative means to care for customers during the pandemic, working diligently to restore service during one of the most active hurricane seasons are on record, while responding to the tremendous increase in customer demand, our associates rose to every occasion with grace and never lost sight of Cable One's values to do right by those we serve drive progress and lend a hand. I want to thank each and every Cable One associate for their strength, compassion and resilience over the past year and as we continue to navigate through these challenging times. We encountered a new adversity with the recent severe winter storms that impacted our Texas market. Our team worked diligently to restore service to approximately 20,000 customers that were affected by commercial power outages and damage from snow and ice. Cable One also donated $15,000 along with food and supplies to local non-profit agencies, including The Salvation Army to support relief efforts in our Texas market. I am also incredibly proud of the results that this team delivered in 2020 and the relentless effort they have demonstrated through the start of 2021. I'll share with you some of the highlights from this past year and then turn it over to Steven, who will provide a full recap of our financial performance and financing activities. Before getting into performance highlights, a quick word about our recently announced agreement to acquire the remaining equity interest of Hargray Communications. We are very excited for this transaction, and we are looking forward to our Hargray colleagues joining Cable One. We'll get into more detail on this a bit later in the call. Looking back now, it has been almost one-year that we, like everyone else, have been dealing with the impacts of the COVID-19 pandemic. Throughout this period, we have adjusted our processes and procedures to safeguard the health and well-being of our associates, our customers and the communities we serve. We experienced record setting demand for high-speed Internet and created new ways to safely install and service customers so they could stay connected to their loved ones, work, education and entertainment. And we gave back to our communities with donations of time and money in support of those most impacted by the pandemic. Some of the highlights of our COVID-19 response include developing video chat applications that offer technicians additional options to assist customers without having to enter a home, which not only helped us keep everyone safe, but also contributed to a meaningful reduction in time of each job, providing free public Wi-Fi hotspots across our footprint and launching a 15-meg service for $10 per month for the first three months to help low-income family. Partnering with ACA Connects, an education super highway, for the K-12 bridge to broadband initiative, which helps school districts and states provide Internet access for students in low-income households. Donating $300,000 to Meals on Wheels and local food banks, in addition to the enumerable ways our associates supported their communities by providing care packages, supplies, time and their talents, and donating more than $50,000 to K-12 schools in our markets for back-to-school supplies. These efforts were in addition to our support of the FCC's Keep Americans Connected Pledge as well as other relief measures that we've discussed on prior calls. On top of our COVID response, we also expanded our corporate social responsibility efforts in 2020 with donations to Embrace Race, a non-profit organization that supports parents in raising children who are brave, informed and thoughtful about race and to the equal justice initiative. For 2021, we will continue our partnership with Embrace Race and we are also bolstering our social responsibility efforts with the launch of the Cable One Charitable Giving Fund, which will provide grants to non-profit organizations throughout our markets concentrating on the areas of education and digital literacy, hunger relief and community development. We are also looking forward to expanding our Chromebooks for Kids initiative this year by increasing the number of Chromebooks we donate to Title I schools in our markets. To date, we have donated more than 1,500 Chromebooks under this program. Lastly, we are gratified to see that our associates recognized these efforts over the past year, as evidenced by our recent recognition on the Forbes list of America's Best Midsize Employers as well as in the results of our Annual Associate Satisfaction Survey. Our associates gave highest mark score: one, taking associate safety seriously; and two, the statement, I am proud to work for Cable One. Those responses, coupled with a record high satisfaction rate, illustrate that our associates are connected and engaged, even in the virtual world we all find ourselves in. With that as a backdrop, let me turn to our performance. We are pleased to have delivered another strong quarter and year with 2020 full year results producing a 13.5% increase in total revenues, an 18.5% increase in adjusted EBITDA and an adjusted EBITDA margin of 50.9%, which improved 220 basis points year-over-year. We believe that our 2020 results reflect the continued success of our data-centric strategy and disciplined approach to operations. Our proven track record of executing while integrating reinforces the strategic value of deploying cash to grow the business through broadband-related acquisition and investments as well as capital projects that drive long-term growth. In 2020, we spent more on CapEx for organic new-build projects than any single year in the past decade, highlighting the fact that we are seeing meaningful growth opportunities in the rural communities that we serve. In the fourth quarter of 2020, although our reported residential HSD customer count shows a decline on a sequential quarterly basis, if you take into account the 19,000 customers contributed to Hargray, as part of the Anniston Exchange in October 2020, we would have shown a gain of more than 11,000 residential HSD customers. This figure would have been 2.5 times the organic customer growth we saw in the fourth quarter of 2019. Our strong growth has continued so far in the first quarter of 2021 as we have already added more residential HSD customers than we added in the entire first quarter of 2019. Over the course of the year, we added a record 82,000 residential high-speed Internet customers. That figure excludes a net of roughly 14,000 residential data customers when we tally those we contributed to Hargray against the value net customers we acquired on July 1. To give some perspective on that growth number, if we exclude the customers added at the time of closing of each of our various acquisitions since 2015, we have organically added over 50% more customers in 2020 than we did over the total 4.5 years between our spin-off and the end of 2019. In addition, the businesses in which we have minority investments grew by approximately 13,000 residential and business data customers in the fourth quarter. While these customers are not reported in our results, these results highlight the value and shared commitment of our strategic partners. Overall, the flexibility of our pricing and packaging approach has enabled customers to easily identify the plan that best fits their evolving needs. In the fourth quarter, even as the number of customers we connected increased by 30% year-over-year, over 70% of these new customers self-selected into a package with a download speed greater than 100 megs. Our residential data ARPU thus grew 5.5% quarter-over-quarter to $75.65. From a technology standpoint, we continued our DOCSIS 3.1 deployment and CMTS upgrades to further enhance network speed and reliability, so we can maintain capacity to stay ahead of the demand curve. During the fourth quarter, even as we saw average residential data usage grow by 37% year-over-year to nearly 500 gigabits per month. Our network utilization at peak remained low, with an average of 23% for downstream traffic and 19% for upstream traffic. On the business services front, revenue grew by 3.4% quarter-over-quarter and by 14.7% year-over-year. As I noted on our last earnings call, we've continued to work with our small business and enterprise customers on providing product and service solutions to support them during this critical time. After the start of the New Year, we launched Internet backup service for small- to medium-sized businesses and optical wavelength service for fiber customers. Internet backup service provides a wireless solution that keeps customers Internet operating in event of a service disruption. Such as a storm-elated power outage. Wavelength service offers a secure delivery method for businesses that must move large amounts of sensitive data quickly, securely and reliably by leveraging our fiber backbone to deliver a dedicated point-to-point high capacity data network service to larger businesses and carrier customers. We anticipate products such as Internet backup and wavelength service will create opportunities to attract new customers as well as upgrade existing ones. Over the course of 2020, we also pressed forward with our integration efforts. We completed the rebranding of our NewWave properties to Sparklight, which included migrating customers to current Sparklight packages. And our Fidelity integration continues on a successful trajectory. Last year, we invested nearly $14 million in planned upgrades that enhanced network reliability and support of high-speed Internet growth. Additionally, our associates are working closely to learn from each other and leverage best practices. For example, our technician video chat functionality was an innovation originally designed by our Fidelity associates, which was rapidly implemented across the entire company. While there are more integration opportunities on the horizon, I'm pleased to announce that Fidelity has already exceeded our original run rate cost synergy estimates. Congratulations and thanks to this group for all their hard work. On the acquisition and investment front, it has been a busy time at Cable One. In addition to closing our acquisition of Valu-Net in the third quarter of 2020, and we have completed five strategic investments over the past 13 months with a cumulative book value of nearly $750 million. This includes our partnership with Mega Broadband Investments that closed during the fourth quarter. Each of our investments and acquisitions has furthered our vision to deliver the very best broadband service to small cities and large towns throughout rural America. Last week, we announced that we have entered into an agreement to acquire the remaining equity interest of Hargray. As you may recall, we currently own about 15% of the company on a fully diluted basis from the contribution of our Anniston System. This is a truly exciting opportunity for us as we are confident that Hargray represents an excellent strategic and cultural fit. Hargray has a rich history of being a leader in residential HSD and business services across the markets it serves in Alabama, Florida, Georgia and South Carolina. Our two companies are similarly committed to the success and well-being of our associates, customers and community. I look forward to officially welcoming our future Hargray colleagues to the Cable One family later this year. And in the meantime, I would like to thank all of those who have worked diligently thus far to help create this exciting opportunity. Steven will provide more detail on Hargray and the transaction in his remarks. As we look to 2021, I'm excited about the opportunities the year will bring, and I'm confident that our pledge to care for our customers, serve our communities and pursue operational excellence will keep us on track for long-term sustainable growth. And now, Steven.
Steven Cochran: Thank you, Julie. Before I begin, I'd like to remind everyone that because of the contribution of our Anniston, Alabama systems to Hargray on October 1, Anniston operations are not included in our fourth quarter 2020 results. For context, these operations represented approximately 19,000 residential HSD customers and produced third quarter 2020 revenues of $9.4 million. The fourth quarter of 2020 generated solid financial results. Revenue for the fourth quarter were $337 million compared to $319 million in the prior year quarter, a 5.7% increase. This increase was fueled by residential HSD revenue increase of 17.1% and the business services revenue increase of 3.4%. Our fourth quarter results include $1.2 million of credits for customers who had experienced brief outages during our most active hurricane season in recent history. To give a sense of our year-over-year organic growth, when we exclude fourth quarter 2019 Anniston results and fourth quarter 2020 Valu-Net results, we would have seen a fourth quarter total revenue increase by 8%, residential HSD revenue increase by 19.3% and business services revenue increase by 5.1%. Residential HSD customers grew by more than 82,000 or 11.8% year-over-year, which is net of approximately 14,000 from the Anniston Systems that were contributed to Hargray and acquired from Valu-Net. Operating expenses were $99.4 million or 29.5% of revenues in the fourth quarter compared to $103.4 million or 32.5% of revenues in the prior year quarter, a 300 basis point improvement. Selling, general and administrative expenses were $64.7 million for both the fourth quarter of 2020 and 2019. These expenses were 19.2% of revenues in the fourth quarter of 2020 compared to 20.3% of revenues in the prior year quarter, a 110 basis point improvement. Net income for the fourth quarter was $106.2 million, which included an $82.6 million pre-tax non-cash gain from the Anniston contribution. Net income also included a $17.5 million non-cash loss from a value – a fair value adjustment associated with the MBI call in put options. As part of our investment in MBI, we acquired a call option to purchase the remaining 55% of equity interest that we don't already own between the first quarter of 2023 and the second quarter of 2024. Meanwhile, if we elect not to exercise our call option, certain investors in MBI have a put option to sell us all those remaining equity interest in the third quarter of 2025. These options are subject to mark-to-market accounting on a quarterly basis. Until these options are exercised or expire, any changes in the assumptions used to determine their fair values could increase or decrease the resulting valuation, which in turn, could cause significant non-operating fluctuations in our GAAP financial results from one quarter to another. Net income per share on a fully diluted basis was $17.54 per share, inclusive of the non-cash gain and the non-cash loss, I just mentioned. Adjusted EBITDA was $178.9 million for the fourth quarter and increased 13% from the prior year quarter. Our adjusted EBITDA margin increased 340 basis points year-over-year, going from 49.7% to 53.1%. Capital expenditures totaled $75.2 million for the fourth quarter of 2020, which equates to 42.1% of adjusted EBITDA. During the quarter, we invested $13.8 million of CapEx for network expansion and $4.1 million for integration activities, bringing our total for the year to $36.7 million and $13.7 million, respectively. In the fourth quarter of 2020, we paid $15.1 million in dividends to shareholders. At the end of October, we amended our credit agreement to upsize certain of our term loans by $300 million and our revolving credit facility capacity by $150 million. And we extended maturities of our term loans through 2025 to 2027 and as well as our revolver credit – revolving credit facility to 2025. We used the net proceeds from the term loan upsizing and cash on hand to repay the $483.8 million outstanding principal under our term loan B-1. We also completed a private offering of $650 million of 4% 10-year senior notes in early November. And we used a portion of the net proceeds to acquire a 45% equity interest in MBI for $574.9 million in cash. From a liquidity standpoint, we had approximately $575 million of cash and cash equivalents on hand as of December 31, and we continue to generate significant free cash flow. At quarter end, our debt balance was approximately $2.2 billion, consisting of approximately $1.5 billion in term loans and $650 million in unsecured notes and finance lease liabilities. We also had $470.4 million available for additional borrowing under our revolver at December 31. Overall, our debt to last quarter annualized adjusted EBITDA after netting cash on hand against debt was 2.3 times. As Julie already mentioned, last week, we announced that we'll be purchasing the remaining equity interest in Hargray that we don't already own. That represents approximately 85% of Hargray on a fully diluted basis. The transaction implies a $2.2 billion total enterprise value for 100% of the equity interest of Hargray on a debt-free and cash-free basis. Hargray is a regional communications provider serving approximately 125,000 customers in South Carolina, Georgia, Northern Florida and Alabama, with last quarter annualized revenue and adjusted EBITDA as of December 31, 2020, of $295 million and $128 million, respectively. The transaction is expected to close during the second quarter of this year. There's additional information on Hargray in the investor presentation filed with our press release earlier today. We have received $900 million of bridge loan commitments to finance a portion of the purchase price. Last week, Hargray amended its credit agreement to provide us with the option to assume approximately $689 million of Hargray's outstanding debt upon the closing of the acquisition, which would reduce the cash purchase price, we must pay at closing on a dollar-for-dollar basis. The combination of our cash resources, revolving credit facility capacity, bridge loan commitment and Hargray's portable credit facility provides us with plenty of ways to finance this transaction. But we intend to keep our options open, and we'll look to opportunistically strengthen our balance sheet and replace the bridge loan commitments with other capital depending upon the availability of the markets. Vaishnavi, we're now ready for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Phil Cusick with JPMorgan. Phil, are you in there? Is your line muted? Okay. It looks like his line is muted or he's not able to hear. I'm going to move on to the next question is from Greg Williams with Cowen. Please go ahead.
Greg Williams: Great. Thanks for taking my questions. Steve, I'll pick up right where you left off on financing the Hargray deal. In the past, you typically said you would be comfortable going up to about 3.5 times leverage. Is that sort of range still an area where you'd be comfortable going or would you consider even going higher considering the credit markets? And second question, I just was looking at Slide 7, which is super helpful on the Hargray acquisition and the $45 million in run rate synergies. Can you unpack some of those synergies? How much of it is the tax NPV versus OpEx and CapEx? Thanks.
Steven Cochran: Sure. So on the first question on the financing, I think, we definitely – we've always said that we're comfortable living in the 3.5 times range, comfortable going higher if we thought we could delever quickly. Clearly, I think we have the ability to delever quickly on this, both from our own growth and the growth of the businesses we've been acquiring. That being said, probably more importantly, what we have also said as part of our strategy is to have a strong balance sheet, and we're going to opportunistically look for our chances to create and have a strong balance sheet because that's been a huge part of our ability to transact over the last several years. And so with that in mind, we'll look for those opportunities. I think, first and foremost, we are focused on getting certainty and we were able to accomplish that both because of moves we had made in the past to create the cash and revolver capacity we had to get the bridge financing that we put in place, but also that they didn't move and get the Hargray debt lined up. So we feel great about certainty to be able to close the transaction and be comfortable with that as a starting point, and now we'll look to be opportunistic and improve the balance sheet where we get the chance. From the synergy standpoint, there's not a lot of tax benefit. There's a little bit of tax benefit. The majority of it really is both expense and revenue synergies. That look very similar to types of synergies we've realized historically, whether you go to NewWave or Fidelity. This is a similar type transaction. Part of it is putting in the Cable One playbook and taking advantage of what Hargray does well, apply that across our company and then go and look and things that have worked really well for Cable One and apply our business model to that. And that's why we put three years out there. We don't ever want the synergies to drive the decisions. We want to make sure that the right business moves are the reason we make the decisions we do, but we feel very comfortable that we'll realize that kind of synergy over a three-year time period.
Greg Williams: Got it. Thank you.
Operator: The next question comes from Craig Moffett with MoffettNathanson. Please go ahead.
Craig Moffett: Hi. Thank you. Steve and Julie, two questions, if I could. First, you're obviously always looking at acquisitions, I guess. The headline price and even the post synergy price for Hargray is an awfully high price relative to public cable multiples. I'm wondering if you could just talk about what you're seeing from potential acquisition candidates in terms of their expectations and does that make it harder to get deals done of significant size? And then second, I guess, the issue that all your larger peers are struggling with is, how to think about broadband growth for 2021 in the absence of the work-at-home and pledge dynamics and that sort of thing of 2020? Can you just talk about how you think growth – what are the puts and takes to growth this year and how you think that 2021 will compare to, say, 2019?
Steven Cochran: Sure. So on the deal multiple side of it, I mean, clearly, we have seen multiples move up, and we've also seen our own multiple move up. And we think justifiably so, we think businesses that are HSD focused that are HSD-led that have a competitive environment like we do that have a growth profile like we do. We think that drives a multiple that looks much more infrastructure like, and that's what we've seen on both things we looked at and not either participated in or looked at and not transacted on. Fortunately, we've been able to find a number of transactions where there were other things other than just price that mattered, they really cared about where their people landed, who is going to be serving their communities, those kinds of things that allowed us, and we were still able to be fair in transacting, but also getting deals done that were outside of processes. And so I think we feel very comfortable that the multiples we're paying for assets that look similar to what we are that we're going to be able to apply our business model to and should have the same trading characteristics that we've had because of the dynamic of the business model that we're operating in maybe compared to some of the larger peers. On the customer growth side, I'll let like Julie take that.
Julia Laulis: Sure. Thanks, Steven. We are proud to have built infrastructure that is focused on customers, particularly serving those customers that are the least served, until we showed up in those markets. And I think that we have the belief that there is going to be a tipping point where what we had built would be needed by our customers. We had thought that likely it would be applications and services that would be writing on our networks. We have no idea that it would be a pandemic. But it came, and our network was there for our customers, and we grew as our peers grew and that growth continues. As you know, Craig, we have room on the penetration side to grow. And now that there is a true need for the type of network that we provide for the type of reliability and service that we provide, it continues to grow. And we feel confident that we have the dual levers of unit growth, penetration growth as well as ARPU growth as customers elect to take higher speed, higher data packages. If the pandemic has taught us anything, it's that we can't predict or control things the way we would like. But right now, we're feeling really good about the business that we're in.
Craig Moffett: Thank you.
Operator: The next question comes from Brandon Nispel with KeyBanc Capital Markets. Please go ahead.
Q - Brandon Nispe: Okay. Great. Thanks for taking the questions. Maybe are both for Steven. But Steven, EBITDA margins are clearly pretty strong for this business over 50% for the year. When you look at sort of the acquired cable systems versus legacy Cable One's footprint, could you sort of frame for us the spread between the more mature systems and the newer assets for you in terms of EBITDA margins? Then, Julie, you're obviously, you made some comments on the organic HSD sub growth during the first quarter. What type of level of growth do you expect in 2021? And maybe what would be helpful is if you could frame for us what level of organic HSD net adds you had in 2020 and 2019, just for frame a reference. Thanks.
Steven Cochran: So, Brandon, on the – first question on the EBITDA margins. So I think a couple of things on that. First, I would say, there's obviously a lot of conversation around what's a pull forward and what's not a pull forward. What I would say, we've seen because we've continued to see accelerated growth, as Julie mentioned, both in the fourth quarter and as so far as the first quarter. So maybe it isn't a pull forward. What there is – is an acceleration of our business model. We've always talked about what was going to happen when the business kept going, and we added more data customers and add less video customers. And because of our approach on video, we've seen accelerated video losses and vastly accelerated HSD gains. And because of that, our margins just moved more quickly to where we thought they would move to, and they're going to continue to move to. As it relates to the actual acquisitions themselves, we don't truly go down to EBITDA for them. But if you look at kind of system cash flow type that we would evaluate on a market-by-market basis. They're all getting really close. Clearly, the legacy CABO stuff just because of where it was in the plan is further along. NewWave has closed the gap significantly. And Fidelity has actually unbelievably closed partly because of what we talked about with the synergy realization piece that we've had on that, that they're actually running very hot on that as well. And that's part of the – that's clearly part of the M&A strategy. I mean part of what we try to do is make sure that we have opportunities to deploy our capital in the most effective ways. We think that's through either network expansion or M&A. And then when we buy things, we execute and put our business model on it, and we generate more free cash flow. And then the goal is to go and find other things to invest that in because we think that's the beauty of our model. It's great if you can have a business that generates a lot of free cash flow. But if you can actually redeploy that into business that's similar, we think that's kind of what is the secret sauce of it has worked so well at Cable One to this point.
Julia Laulis: Yes. And I think, Brandon, that Steven just answered your second question to really the best of our ability. And again, we can't predict and we can't control, but we can tell you that we have growth, we have continued to accelerate growth in the fourth quarter, and it's still going strong now. We've got room to grow, and we're doing it.
Brandon Nispe: Thanks for taking the questions.
Operator: [Operator Instructions] The next question comes from Frank Louthan with Raymond James. Please go ahead.
RobPalmisano: Hey, guys. This is Rob on for Frank. Thanks for taking my question. So can you talk about the outlook for you guys under a potential Title 2 net neutrality scenario and how much do you think you'd have to raise pricing if data caps weren't allowed hypothetically? Thank you.
Julia Laulis: Thanks, Rob. It's Julie, I'll start, Steven, feel free to jump in. First, we're strong believers in net neutrality. We don't throttle. We don't have fast lanes. We believe in an open Internet. We don't believe that it needs to be legislated, however. When you talk about possible regulation and raising prices, a couple of thoughts come to mind. One is that the actual amount of ARPU that comes from usage-based billing has gotten relatively small under our new pricing and packaging scenario. So what's driving our ARPU growth on the residential HSD side? Well, over 70% of people elect to go into a package that's higher than 100-megs. And those carry higher prices, right? They also elect to take unlimited data packages, which drives ARPU. We also, which I just think is really smart. We don't discount any package other than that 100-meg package. So when people elect and it's by far and away the majority, that the higher priced packages they're buying them at full price. We are not deeply discounting. So those are the things that are driving ARPU for us. Our 100-meg service is an – well, all of our services. But if you really look at our 100-meg service, it is a tremendous value at $55. And by the way, it has been $55 since the fall of 2015. We have not raised the prices on our residential HSD services. And it is the sell-in and the lack of discounting and a little bit of UBB that allows value price to be available to the majority of the customers and those that want more or use more, they pay more. We think that's a really beautiful value proposition for customers.
Rob Palmisano: Great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Julie Laulis for any closing remarks.
Julia Laulis: Thank you, Vaishnavi. I want to thank our associates for all they have done and continue to do during an incredibly uncertain and challenging time. This team continues to be the driving force behind our success. And I feel especially privileged to work alongside of them each and every day. We appreciate everyone joining us for today's call and look forward to speaking with you again next quarter. Thanks all.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.